Operator: Good morning, and welcome, everyone, to FEMSA's Fourth Quarter and Full Year 2014 Financial Results Conference Call. [Operator Instructions] Today's conference is being recorded. [Operator Instructions] During this conference call, management may discuss certain forward-looking statements concerning FEMSA's future performance and should be considered a good faith estimate made by the company. These forward-looking statements reflect management expectations and are based upon currently available data. Actual results are subject to future events and uncertainties, which can materially impact the company's actual performance. At this time, I'd like to turn the conference call over to Javier Astaburuaga, FEMSA's CFO. Please go ahead, sir.
Javier Gerardo Astaburuaga Sanjinés: Thank you. Good morning, everyone. Welcome to FEMSA's Fourth Quarter and Full Year 2014 Results Conference Call. Juan Fonseca and Roland Karig are also with us today. And we also have Daniel Rodriguez Cofré with us this morning. As you know, Daniel will be taking over the Chief of Staff and CFO position on April 1, and I will transition to Head of our Corporate Development Efforts at that time. As we normally do during the call, we will focus on the consolidated figures for FEMSA and on FEMSA Comercio's results, as many of you probably had a chance to participate in Coca-Cola FEMSA's conference call yesterday. As you have also likely had the chance to go over our detailed results, we will take the opportunity to focus on the highlights and main trends in our business. However, before we start, I'd like to comment briefly on an important decision made by Coca-Cola FEMSA regarding the exchange rate at which it translates the results of its operations in Venezuela. As you know, we are now using the previously denominated SICAD II rate of VEF 50 per U.S. dollar to translate the fourth quarter and full year 2014 numbers into Mexican pesos compared to an exchange rate of only VEF 6.30 per dollar used for the comparable period of 2013. Previously, we have been unable to adopt SICAD II based on our dialogues with our external auditors, but we have provided additional information in our filings with the regulators using a higher exchange rate to help the market understand what the impact might be if or when we adopted SICAD II or any other exchange rate. Given the current operating conditions in Venezuela, we are now in a position to adopt this higher exchange rate for our quarterly results. This will bring our numbers more in line with economic reality. However, the negative effect on our reported results is significant in the quarter. We believe the market was already applying certain adjustments to the Venezuelan numbers, and therefore, this has not come as a major surprise to anyone. We expect the similar dynamic when we report upcoming quarters, although the impact should be lower given that we'd started using the SICAD rate in the first quarter of 2014, which was already above VEF 10 per dollar since then, so the gap will be slightly less dramatic. Moving on, every year, the February conference call provides us with an opportunity to discuss with you not only the results of the fourth quarter and full year but also share some perspective on the full year trends and performance and talk a little about the expectations for the new year coming. At FEMSA Comercio, the fourth quarter marked a continuation of the moderately improving top line trends that we saw throughout all of 2014. As the challenging year progressed, there was a slight uptick in the comparable sales figures at OXXO quarter-by-quarter. However, at Coca-Cola FEMSA, the recovery in Mexico has been less consistent, with the growth in transactions and solid profitability being the bright spots in what is still a soft consumer environment. Beyond Mexico, Brazil delivered encouraging organic growth and improved margins, and we had a good performance in most markets during the period. All in all, we closed a challenging year on a solid note, we think. Looking at the full year. In spite of the tough operating conditions, we reached some important milestones. At FEMSA Comercio, we set a new benchmark for the opening of new stores reaching 1,132 net new OXXO units for the year, in addition to now 90 new drugstores, bringing our total store to 12,853 OXXOs and 605 drugstores as of the end of 2014. We also announced the acquisition of Farmacon, another strong regional drugstore chain in Northwestern Mexico that will allow us to keep gaining scale and advance in our strategy once the transaction closes. At Coca-Cola FEMSA, we made great progress in the integration of our recent acquisitions in Mexico and Brazil, and we completed our new state-of-the-art bottling plant in Itabirito in the state of Minas Gerais. And this new plant is already allowing us to serve this key territory much better with a broader portfolio and much higher efficiency as well. In terms of the macroeconomic environment in our largest markets, in Mexico we continue to see encouraging data points and several variables such as remittances and industrial production, yet the consumer is only showing very moderate and relative signs of recovery. And as you know, GDP growth expectations for the year continue to be trimmed down, driven in large part by the current oil price environment and still sluggish internal demand. In Brazil, the concern continues to be the pace of growth, but on the positive side, unemployment seems to be trending down. Beyond that, foreign exchange pressure across our markets, owing to a strong dollar, will continue to be in focus. Moving on to our consolidated quarter numbers, and keeping in mind the comment on the Venezuelan exchange rate, during the fourth quarter, total revenues were almost flat, and income from operations grew 1%. For the fourth quarter, the land label participation in Heineken results represents the difference between FEMSA's implied 20% participation in Heineken's full year net income and the figure we reported for the first 9 months. Importantly, for the full year, the land represents FEMSA's actual 20% participation in Heineken's net income, derived from Heineken's full year 2014 numbers reported approximately 2 weeks ago. Net income for the quarter increased 20% -- 26%, reflecting growth in FEMSA's participation in Heineken's net income and a lower effective tax rate. In terms of our consolidated net debt position, it decreased slightly from MXN 49 billion at the end of last year to now MXN 47 billion at the end of 2014. Measured in dollars, we went from $3.8 billion in 2013 to now $2.9 billion. That is a reduction of almost $1 billion, reflecting cash generation at our corporations and the fact that the dividend payment corresponding to 2014 was actually paid at the end of 2013, offsetting the negative effect of foreign exchange movements impacting Coca-Cola FEMSA's cash balance held in Venezuelan bolivars. In terms of dividends paid during -- to be paid during 2015, we will be submitting to shareholders our proposal for an ordinary dividend payment of MXN 7.35 billion, representing a full pass-through of the dividends we expect to receive from Heineken and Coca-Cola FEMSA in 2015 as well as a portion of the free cash flow generated by FEMSA Comercio in 2014. This results in an increase of 10% over the amounts corresponding to 2014 and 2013, reflecting our commitment to increase cash returns to shareholders as the business continue growing. We also like to take the opportunity in our third conference call for the year to talk about expected levels of capital expenditures. Here are our comments: For 2015, CapEx at Coca-Cola FEMSA should reach about $850 million. For FEMSA Comercio, we should deploy approximately $430 million, remaining with the stable range as a percentage of revenues. Adding an estimated $70 million for our logistics and refrigeration business, we will reach a consolidated total of approximately $1.35 billion in total CapEx for the company. Now moving on to this quarter operations and beginning with FEMSA Comercio. We opened 458 net new stores during the fourth quarter, slightly a little bit more than the last year fourth quarter, reaching 1,132 net stores openings in 2014, as we mentioned before. During the fourth quarter, revenues increased 12%. Same-store sales were up 3.3%, a slight improvement versus the trend of the first 9 months of the year. And it was encouraging to see that average traffic was now positive and contributed 50 basis points to this growth, which had not been the case for a while. Gross margin expanded 80 basis points, again, driven mainly by an effective collaboration and execution with our key supplier partners as well as some more efficient use of promotional-related marketing resources. In terms of operating margin, this quarter, FEMSA Comercio posted on uncharacteristic contraction of 60 basis points, and I'd like to spend a few minutes on that. As you may recall, in the fourth quarter of 2013, operating expenses grew below revenues as a result of a very tight containment, and this allowed the operating margin to expand 100 basis points, which now represents a very tough comparison. That's to start with. Beyond that, this quarter's contraction reflects the strong growth in new stores for the quarter; expenses related to the incorporation of Doña Tota; the strengthening of FEMSA Comercio's business and organizational structure as we prepare for the growth of new operations, particularly drugstores; and certain one-off charges, including those related to losses caused by hurricane Odile that hit Baja California Sur a few months ago. The main message here, we believe, is that most of the pressure on the margin comes from factors that are not structural or recurring. For its part, Coca-Cola FEMSA had an operational solid quarter with improving transaction trends and robust profitability in Mexico and Central America, complemented by a very strong volume performance and improved margins in South America. If you were unable to participate in the conference call yesterday, you can access a replay of the webcast for additional details on the results. And before we talk a little bit about the outlook for 2015, we should also comment on the subject of OXXO gas service stations, which we mentioned in our press release. As we described in the press release, this is a business in which we have been participating for 20 years, providing services and assets through agreements with third parties that own PEMEX franchises. The difference is that now, with the new regulatory framework resulting from the energy reform in Mexico, we're not going to be able to own PEMEX franchises ourselves, and we have, therefore, agreed to acquire 227 of them from these third parties. And we intend to grow this business going forward by leasing, acquiring or opening more gas stations in the future. By providing above-industry service, we have been able to build a strong brand, which, coupled with potential gains in scaling what is a very pragmatic food industry, contribute to make an attractive business case for us. We want to say that while this is a business with lower structural margins and the rest of FEMSA Comercio, it offers the potential for compelling returns, well in excess of its cost of capital. And we're excited to pursue this additional growth avenue that fits well with our business platform and our operational skill set; while we close the transaction, you will see the numbers being consolidated with FEMSA Comercio's, but we will also provide you with additional information to facilitate your understanding and monitoring of the business. And finally, on a very long opening remarks, let me talk a little bit about our broad expectations for 2015. For FEMSA Comercio, we expect net OXXO openings to once again exceed 1,000 units. In terms of same-store sales growth, we are encouraged by the gradual trend from the end of last year and considering the undemanding comparable base, we are more optimistic that in this year we could move closer to the mid-single-digit range with traffic being less of a drag and perhaps coming in slightly positive at times, as the negative impact of the telephony category becomes less and less relevant and is gradually mitigated by the growth in the services category. We also expect to open approximately 100 new drugstores in addition to the more than 200 that we are acquiring with Farmacon. We already mentioned some incremental growth in the OXXO gas business in addition to the more than 200 PEMEX franchises that we already operate. So while structurally OXXO operating margins still have potential for moderate expansion in the medium term, we need to factor in a little pressure from all this growth in lower-margin but high-return new businesses. For Coca-Cola FEMSA, we expect moderately improving trends in Mexico, even as the much-awaited consumer recovery remains still elusive. In Brazil, we're optimistic about our improved return of our portfolio that is now being enabled by the new plant in Minas Gerais. And we are generally constructive on the business plans for this year. In fact, we have optimistic business plans for most of Coca-Cola FEMSA's markets for 2015. However, the foreign exchange volatility we have been experiencing the past few months has forced us to temper expectations a bit across margins. So in sum, from the perspective of FEMSA, we see many opportunities to drive growth, but we are cautiously optimistic about the year that begins. However, the macro, in general, and foreign exchange in particular will probably be, in our conversations, more than we would like throughout the year. But there are many things within our control, and we will keep making progress on those and working hard as we always try to do. Basically, with that, now I would like to open the call for your questions. Operator, please?
Operator: [Operator Instructions] We'll take our first question from Andrea Teixeira with JPMorgan.
Andrea F. Teixeira - JP Morgan Chase & Co, Research Division: Just more -- if you can elaborate out of your prepared remarks on the -- if I have just one question, on the gas stations. I understand that you're participating under the regulation of the business in Mexico and not only -- it seems not only the business of the convenience stores around but the gas station. If there is also a commitment of CapEx of running off of the gas station itself and that -- and how much you would be committing and how many do you expect to open over the next couple of years?
Javier Gerardo Astaburuaga Sanjinés: Sure, Andrea. As you can imagine, I wouldn't like to give you really perspectives for opening of new gas stations going forward. What I can share is that we have been, in the past, through a combination of different models, as I described in the opening remarks, both building and opening or buying or leasing. We have been increasing the number of gas stations in the range of between 30 to 50 gas stations for the last 4, 5 years. And I would say that as a reference number going forward, I think that, things being equal, will continue to be the trend. But again, this is, I would say, a new environment. So we would like to expand maybe more aggressively than we have been able to do in the past. But it is very hard to really put numbers going forward for that. The numbers that I shared with you in terms of the $430 million CapEx are assuming, basically, continuing the trend of opening the new stores as well as continue the trend of building, acquiring or leasing gas stations going forward, also continuing the trend that we have had in the past.
Andrea F. Teixeira - JP Morgan Chase & Co, Research Division: And just on the OXXO side would be 1,000 every year, still around that number?
Javier Gerardo Astaburuaga Sanjinés: Yes, you're right.
Operator: Your next question comes from the line of Alex Robarts with Citi.
Alexander Robarts - Citigroup Inc, Research Division: Listen, in the remarks, you talked about the margin pressure, and this is more of a short-term question for OXXO. Just wondering, the expenses related to Doña Tota and Farma, you say are mostly nonstructural, nonrecurring. But is it fair to think and assume that we might get some lingering related expenses into the first half of the year or not? I mean, I guess, that was the first bit. And the second bit is, the margin pressure that you seem to suggest also comes from these new assets as you incorporate them, particularly this year. To the extent that we have the gas stations and the investments related to that, is that an incremental pressure as well? So if you kind of just give us a sense of how much potential pressure there could be this year in the OXXO asset, that would be great.
Javier Gerardo Astaburuaga Sanjinés: Sure, Alex. On the first one, it's just -- with the effect of Doña Tota, which is worth mentioning that's a part of the growth in the OpEx for the quarter, this is the last quarter in which -- I mean, you remember we basically set consolidating Doña Tota first quarter of this year, this is a business which has substantial higher margins than the convenience stores but also has the more heavy operating expenses structure than operating a convenience store. And this will be, I think, the last quarter in which we'll be having that effect. Starting next year, I think the effect will be minimal. So I think we will be lapping the consequences of having bought this business and consolidating it since 2014. On the gas stations, as I described, we have already had the -- let's say, the structure to run that business in place because we were running the gas stations even though we were not owners of the PEMEX franchises. So there -- you shouldn't expect really a change, or we shouldn't expect the change in the way this business is run or the profitability we have been getting, measured on a return on our assets. Of course, now you're going to see the sales being consolidated on the company, and that will produce the effect of putting pressure on the overall FEMSA Comercio operating margins due to the fact that this is a lower margin on sales business but still, as I said in the opening remarks, a very profitable business when you measure it against the investments that you have to make. So I think that it will be very important for us. And I also said that in the opening remarks, that we provide you with the right information for you to continue understanding the underlying performance of our convenience store business and now understand what the effect of this new line of businesses, which is going to be consolidated into the FEMSA Comercio operations, the gas stations behaves as well. So I think that we're going to try to do our best as always to try to help you understand the performance of the 2 businesses going forward.
Operator: Next question comes from the line of Jeronimo de Guzman with Morgan Stanley.
Jeronimo De Guzman - Morgan Stanley, Research Division: I wanted to clarify something also related to these gas stations. First of all, just wanted to see -- so you mentioned that you didn't consolidate the sales from the -- so how were these booked, as I guess you did operate them through third parties? So how are they showing in your financial statements?
Javier Gerardo Astaburuaga Sanjinés: They were being only shown as the margins that we were making by operating their gas stations, Jeronimo. So the assets that we already owned and the margins that we were making by operating those gas stations were already on our P&L, but the sales were not. It was basically a commercial margin that we were making because of the service that we were providing on operating those gas stations.
Jeronimo De Guzman - Morgan Stanley, Research Division: I see. So based on the information that you gave, the sales that were generated from these gas stations, I mean, it's right that it should be a 15% increase in revenues right off the bat for 2015?
Javier Gerardo Astaburuaga Sanjinés: You're right on that. Yes, it is a big number, revenues.
Jeronimo De Guzman - Morgan Stanley, Research Division: Yes, it does seem like it's a pretty big impact on revenues. So I just wanted to see if there's any range you can give us on the margin that these gas stations could have. Because including that on the revenue with much lower -- with lower margin, I don't know how much lower it could have a significant impact on the overall margin for Comercio.
Javier Gerardo Astaburuaga Sanjinés: Sure. It will, that's why we will need to help you understand the performance. And what I can tell you is this is a very typical margin for selling gas in Mexico or U.S., which goes to low-single digits, Jeronimo, which is very different from the high-single digits we make on our convenience stores. But again, it is important to have that figure in mind, but it's more important to know that, again, the return on the investment is very good, significantly above cost of capital involved in investing in this line of business.
Jeronimo De Guzman - Morgan Stanley, Research Division: Yes. I mean, I guess, the sales per unit is much, much higher than what it would be for OXXO based on what the [indiscernible].
Javier Gerardo Astaburuaga Sanjinés: Significantly more higher, yes, you're right.
Jeronimo De Guzman - Morgan Stanley, Research Division: Okay, that's helpful. And then just wanted to ask you, again, on the SG&A for OXXO, so there were these -- there was the impact of Doña Tota, which goes away, now that it's more comparable, and there was also a lower comparison base. But in terms of the nonrecurring that you mentioned from hurricane Odile, how much of an impact was that in the fourth quarter?
Javier Gerardo Astaburuaga Sanjinés: It was mentioned as the last of the reasons because it was not necessarily the biggest one but big also. When OpEx increase, everything that is working against you counts, so it was not a major number within the explanation, but it was there.
Jeronimo De Guzman - Morgan Stanley, Research Division: I see. Okay. So when you put it all together for OXXO or for Comercio, it seems like you continue to have pretty good gross margin gains from some of the promotions you have with suppliers and some of the sales incentives. I assume those can continue going into 2015. In 2015, maybe the mark -- the OpEx can be a little bit -- you start running into -- yes, the less tough comparisons. I mean, but is it still -- how do you view the margins, I guess, behaving in 2015 given that you still have this big headwind from the pharmacies in spite of the returns being better?
Javier Gerardo Astaburuaga Sanjinés: Yes, let me try to frame it this way. If you look at the times in which OXXO had been able to consistently grow same-store sales within a reasonable growth, economic growth and a consumer sentiment, which I would say is also consistent with an environment of economic growth. The combination of growing same-store sales, opening new stores, have a good cost control in place, had produced in the past very important margin expansions, I would say, in very important years in which we expanded margins 200 basis points, sometimes 50 or 60 whatsoever. In the past 2 years, you have to take into account, I think, that all in all, the Mexican economy have grown less than 1.5% in average for the past 2 years, that the consumer sentiment has been impacted by a number of reasons, including the tax reform that impacted a lot of the products we sell at the stores. So in the short term, I think we were able to navigate throughout these couple of years, again, doing the job in terms of the cost containment efforts that we have to make consistently to keep growing in a profitable way but also, as I've been very consistent also sending the message, to invest in the business, to prepare to continue to grow into the future. And I think my mention of the reinforcing of the organization that will take care of the growth for the drugstore business as in the food businesses, we invested a lot in people this year. I think we were able to manage in these couple of years to expand the margin last year, a slight -- to manage a slight -- a very small contraction of margin this year. But all in all, in these couple of years, on a very, very recessive and troubled environment, we were able to, again, grow the store base with quality openings. We are not shutting down stores as we've never done. But again, the performance of the business, I think, should be measured looking for longer terms. And in the long term, we feel still very confident that we would have the ability to -- as the environment gets better, some of our investments in short-term things, such as people, processes and technology, starts to reap benefits going forward, but we still see opportunities for our convenience store business to moderately improve margins going forward. It will have to do a lot with how the environment develops going into the rest of 2015 and forward. But all in all, I should communicate that, yes, we feel good about the things that we're doing. And then, as you know, we don't really make decisions based on quarterly phenomenons, but we're looking more for the long term as always.
Operator: We'll move on to Armando Perez from Crédit Suisse.
Armando Pérez Núñez: After incorporating your Farmacon stores and the 2015 openings, should we expect any additional CapEx for logistics and distribution in this kind of business?
Javier Gerardo Astaburuaga Sanjinés: That's a possibility, but short term, I don't think we're going to be facing that. I think we have a full hands with just dealing with the gas stations piece. So as for 2015, I think the guidance we gave in terms of the CapEx for OXXO, for the current businesses, is the one that we believe is going to be executed throughout the year, Armando.
Operator: And we'll move on to Luca Cipiccia with Goldman Sachs.
Luca Cipiccia - Goldman Sachs Group Inc., Research Division: I wanted to follow up on the drugstores and investments as well that you mentioned you made in the fourth quarter. Just want to understand whether that means that you feel you're getting closer to having a format or a structure for the business that satisfies the standard that you want to develop for international footprint. Or in other words, I remember, in the past, we discussed whether you're evaluating if rolling this out under one single banner. You had a new acquisition very recently. So maybe if you can discuss a bit where you stand in terms of reaching the optimal strategy for this new channel, that would be quite helpful.
Javier Gerardo Astaburuaga Sanjinés: Sure, Luca. Let me try to explain the main elements that we're trying to assemble to make this a winning business going forward. As we have been describing, we think that we're able to acquire some regional chains as beachheads based on current value propositions and banners, that is brands for consumers in different regions, that is a good starting point as opposed to try a greenfield strategy. So that's for starters. And I think we have been quite successful in making agreements and acquisitions in that regard. What we are now and we have been doing for the past 2 years since we started this strategy is we have been, I would say, confirming some of the hypothesis that we had when we entered the business and learning much more than we anticipated in trying to have better consumer insights into what's driving the decision-making in order to go to an outlet that sells drugs and health and personal care products and convenience products. We are now embarked in that process which involves, as you well pointed out, a strategy that in the end will include having a consistent operating protocols and processes, supported by a backbone on an IT platform that will allow us to take advantage of scale to deal with a transition from the brands that today are known by the different regions in which these outlets operate to -- at some point in time, possibly to a national banner or to at least less banners than the ones we're acquiring, and also, of course, trying to take advantage of cross opportunities that we have between the convenience stores and the drugstores in a number of areas, not just logistics, back office and talent management. So all in all, that's kind of the process in which we are working on. This is a process that -- to put, let's say, all the different chains in the same platform, operating and technology, and looking for a strategy that will evolve into possibly a single banner or something less fragmented than the multiple banners we already have, it will take maybe 2 or 3 years. So while we are doing that, we are not slowing down. As you better understand, not slowing down our aspirations to continue, looking at exploring and acquiring hopefully other chains, not reducing our rate of operating of stores and, of course, not reducing our efforts to make this an even higher profitable business than it is already. So that's kind of, in a nutshell, what we are trying to aim in the whole drugstore strategy, Luca.
Luca Cipiccia - Goldman Sachs Group Inc., Research Division: And just very quickly, as a small follow-up. When you talk about openings, are they also, if you like, balancing the geographic footprint that is still missing in some parts of the country? Or really, the openings that you are doing are -- in the respective region for each of the chains is to see whether you're spreading any of the concepts beyond the regions in which they originally operated?
Javier Gerardo Astaburuaga Sanjinés: Yes, we're very cautious about it. I mean, just entering new regions, from a greenfield perspective, it's something that we're still not there. We think this is not the more appropriate and risk-taking attitude. So what we're doing is expanding in the regions in which we are. It's not necessarily expanding only in the cities in which we are but going to adjacent states or adjacent cities that can advance us a little bit and doing it in a very decisively way. But also, we are looking for other regional chains that might fill some holes we have, big holes we have in the geography. We don't have anything basically in Central Mexico, and that's a very interesting region for us and for everybody. So that's the way that we're moving, at least for the time being, Luca.
Juan Fonseca: Yes, I think -- Luca, this is Juan. Just to add to what Javier has said, it is the one example of kind of moving into the contiguous stage is the state of Veracruz. I mean, we're coming from the Yucatán Peninsula and very gradually moving west along the coast of the Gulf of Mexico. But you have to be very careful because you're basically creating a brand from 0.
Operator: Our next question will come from Martha Shelton with Itaú.
Martha V. Shelton - Itaú Corretora de Valores S.A., Research Division: It's revolving -- just trying to think about how management is feeling in so far as the resources that it's allocating to all of these acquisitions. You've got Doña Tota, you've got the pharmacies, and now you've got the gas stations. Do you feel well enough resourced? And is this really extending management? I'll stop there.
Javier Gerardo Astaburuaga Sanjinés: Sure. We feel very good about it, Martha. The amounts that we have put in these businesses as an entry point, I think, are small compared with the size of the company and the size of the opportunity. And so far, we have not really found any surprises telling us that we are overstretching outside of our core skill set. And the performance of the businesses have been, I would say, pretty much in line with our plans starting. And I would say that we're -- if you want to put it this way, we're double-betting on pooling more people to help us develop these businesses faster in a better way. So that's how confident we feel with the new businesses that we're entering in the last couple of years.
Operator: We'll move on to Antonio Gonzalez with Crédit Suisse.
Antonio Gonzalez - Crédit Suisse AG, Research Division: Just the first one in the -- I guess, following up with the previous question. I want to ask -- obviously, with an upcoming change in CFO, and I understand Daniel Rodriguez moved to Mexico at the beginning of this year, I wanted to ask how are you splitting responsibilities regarding capital allocation. And anything you can share regarding the integration of Daniel so far? I mean, obviously, his role starts effectively only until April. I understand that. But I wanted to know, with you, Javier, staying at the Finance Committee, who will be looking closer at these M&A opportunities? Are you probably going to spend more time just looking at Heineken and Coca-Cola opportunities, while maybe Daniel will be looking more at the FEMSA Comercio opportunities? And how specifically do you incorporate Daniel's experience in South America? And then the second question very quickly is just on the debit card Saldazo in OXXO. I wanted to ask, how many cards do you have now? And what is the impact that you're seeing, if you can quantify it in terms of traffic, when you look at the same-store sales for OXXO?
Javier Gerardo Astaburuaga Sanjinés: Sure, Antonio. On the first one, it's pretty simple. It's people that know how FEMSA operates. It's very simple to explain how roles are being played here. In the current model, I've been Chief of Staff for the last 9 years in the company, and Federico Reyes has been just focused on corporate development things, playing several roles as an extension, I would say, of the CFO, now Daniel, as the supporting arm for himself and his whole organization, as also evidently to -- as part of the management team of the company. And I would say that model which has worked, I think, well by me and Federico in the past 9 years, now is basically replicating that role now. Daniel in charge of basically all functional areas of the corporate arena, and myself, pretty much focused on corporate development, which involves stakeholder management, if you want to call it that way, in terms of the Heineken and Coca-Cola FEMSA things, together with Daniel, not on my own. And I would say working hand in hand with Daniel and his whole team, but particularly in things that have to do with potential opportunities for the company to either acquire or partner with third parties looking for business opportunities going forward. So that's kind of the way we work here. But let me expand a little bit more the comment. This is something that is done not only by myself, Daniel and Carlos Salazar and the Finance Committee, which I will be participating when those are the things that the Finance Committee are going to be looking at. Most of the process of capital allocation is done in a very thorough process that involves the whole management team of the company, that is the CEOs of the business units. So the model, again, as I said, that works and that has worked very well in FEMSA is to have as many people that are knowledgeable about the facts that we're trying to analyze, hopefully, and most of the time, with very different points of view on different matters. So hopefully, through the right culture we're able to extract the best of each opinion to get to the resolution for each problem. So that's kind of the way we have been operating in the past, and that's the way we will continue operating in the future. In terms of the debit card, I think we have reached almost to 1.5 million cards. We're very close to that number. Juan, I don't know if you want to expand a little bit on some of more comments on the performance.
Juan Fonseca: Yes, no, I think -- Antonio, Javier is right. I mean, we closed the year basically with 1.4 million -- or almost 1.4 million. So the rate of new accounts is slightly above 100,000 per month. And the utilization rate continues to be much higher than the industry norm. So not only are people opening the accounts, but they're actually using them actively. So I would say, with a word of caution, but it seems that the trends are certainly not slowing down but perhaps maybe deflating a little bit.
Operator: Ladies and gentlemen, that is all the time we have for questions today. I will now turn the conference back over to Mr. Astaburuaga for closing additional remarks.
Javier Gerardo Astaburuaga Sanjinés: Just to thank you very much for your participation today, everyone, especially for bearing with me all these years as we try to keep you up to speed on this company that we love so much. I leave you in very, very good hands with Daniel and Juan as always. So long, everyone. Bye-bye.